Operator: Thank you for standing by, and welcome to the Anaplan Fourth Quarter Fiscal 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advice that today’s conference is being recorded. [Operator Instructions] Thank you. I would now like to hand the conference over to Edelita Tichepco, Vice President of Investor Relations for Anaplan. Ms. Tichepco, please go ahead.
Edelita Tichepco: Good morning. Thank you for joining us on today’s conference call to discuss Anaplan’s fourth quarter fiscal year 2021 financial results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Dave Morton, our Chief Financial Officer. On this call, we will be making forward-looking statements, including financial guidance and expectations for first quarter and fiscal year 2022, anticipated future operating and financial performance, strategies, customer demand, products and technologies. These statements reflect our best judgment based on factors currently known to us and actual events or results may differ materially. Please refer to documents we file with the SEC, including the Form 8-K filed with today’s press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not be current or accurate. We will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated during the call, all references to our gross margins, expenses and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our website. And with that, I will turn the call over to Frank Calderoni.
Frank Calderoni: Good morning, and thank you for joining us today. We demonstrated linear progression throughout the year. And this improvement continued into the fourth quarter. We focused on steady execution, helping our customers address their key challenges on how to best plan for an uncertain and unpredictable future. There was a growing need for rapid scenario-based planning in this new environment where disruption have become the new normal and pivoting course-correcting and transforming are now an ongoing everyday part of business. We finished this past fiscal year with solid execution and with healthy new customer growth this quarter. We now have over 1,600 customers and we also continue to deliver value to them with approximately 70% of new bookings coming from expand deals. We also have 453 customers with ARR over $250,000. Billings grew 37% year-over-year. And we exited the fourth quarter with a remaining performance obligation, or RPO balance of $818 million, up 25% of the last year. As an example of an impressive new customer land, one of the largest U.S. suppliers of beverages was looking to modernize the financial planning and reporting systems. They wanted to move away from their legacy on-premise solution that lacks the level of flexibility required to accommodate structural changes to the business. They chose Anaplan for the breadth of our platform, which was unique and it’s built in flexibility to address both the FP&A core requirements, as well as other use cases, such as workforce planning and incentive compensation. This highlights what we continue to see with our customers, where there’s a need to connect the financial implications to the ultimate business outcomes. This is a good example of the extension of planning beyond finance into adjacent operational areas within a business and emerging trends that has been highlighted by Gartner xP&A. Another example of a new large enterprise customer is a European based global leader in materials and chemical solution. This company generates over $11 billion in revenue focused on addressing critical industrial and environmental challenges by developing products supporting advancements in transportation, batteries, smart and medical devices, water and air treatment. This customer was embarking on a digital transformation effort by moving from a product based approach to being more customer centric. The finance team developed a multi-year initiative while sustaining and protecting revenue growth. Zero-based budgeting was selected as the vehicle to achieve those objectives. They chose our platform because they needed a very short time to market with flexibility and usability since many users were not in finance. They also appreciated the scalability we offered as they expected more than 1,500 users who manage high volume, detailed complex data. We see great potential for this customer to embrace connected planning as they anticipate other areas that require similar capabilities. Another deal I’d like to highlight this quarter is with an existing customer who has over 15,000 employees and revenue at scale. They needed to expand their use of our platform to include integrated planning across HR, finance, R&D and their business units. So they could focus on improving their profitability and operational efficiency of their business as they plan for their IPO. Our platform has been their planning foundation and they have now been able to seamlessly integrate this with their existing ERP and other core systems. From an innovation perspective, this past year has been productive and I’m excited to share that we continue to deliver capabilities on our platform this quarter. Today, we announced our strategic relationship with Amazon Web Services to provide our Anaplan platform on AWS. This expanded relationship will help us serve a wider range of enterprise customers and grow our overall market opportunity. This collaboration will also allow customers to leverage integrated cloud services, extending our Anaplan platform by embedding data storage and analytics tools from AWS. This builds upon Anaplan’s PlanIQ with Amazon Forecast, which we announced that our CPX user conference last fall. As a reminder, this product delivers more accurate predictions to our customers by pulling in data from Anaplan and by automatically testing several learning algorithms before selecting the model optimized to generate the strongest forecast for a customer’s unique use case. Now with Anaplan on AWS, it will allow PlanIQ customers to leverage first and third-party data in their forecasting and scenario analysis. This product has been available for the past several months through our early access program. And we have been working closely with several major customers and partners in healthcare, mining, consumer goods and e-commerce and have received positive customer feedback. We are building a strong ecosystem of technology partnerships to increase value and choice to our customers. During this past year, we also announced Anaplan on Google Cloud and CloudWorks demonstrating our commitment to opening up the platform. Today’s announcement of Anaplan on AWS is a part of that continued innovation. From a go-to-market perspective, our relationships with AWS and Google Cloud will also diversify our selling motions, providing the necessary scale to address the large market opportunity ahead of us. Our joint go-to-market with AWS will be supported by their sales team. Our SI partner ecosystem is a cornerstone of Anaplan’s go-to-market strategy and is critical in delivering lasting value to our customers. This quarter 10 of our top 20 deals were sourced by partners. I’m also pleased to announce that McKinsey has now named Anaplan their official partner for corporate performance management. At our sales kickoff last week, we announced the launch of our brand new partner solutions showcase. The destination for our partners to showcase their Anaplan solutions to customers and prospects, which has been designed to support our customers key planning needs by function and by industry. This new portal will help prospects access innovative partner solutions from a single catalog and allow existing customers to see the possibility for extending their existing use of Anaplan across business functions and geographies. We continue to be the leading choice for customers looking to digitally transform their planning capabilities. Anaplan is already recognized by Gartner as a leader in three out of four Magic Quadrant. Adding to this recognition this quarter, Anaplan was also named a cloud EPM leader by IDC MarketScape. In fiscal year 2021 against the pandemic backdrop, we grew our global employee talent by 19%. We also continued building a world-class ecosystem of certified Anaplan experts, expanding our community across a variety of functional backgrounds. The total number of professionals that completed one of Anaplan’s certification levels grew in excess of 100% over the prior year. This includes Anaplan talent at our customers, partners, as well as our own employees. The people and talent element of connected planning is vital to longevity and sustainability Anaplan delivers to our customers. As we have also discussed in the past, customers have increasingly implemented a recommended center of excellence or COE. These are customers internal teams dedicated to deploying Anaplan with the purpose to ensure that transformational business planning is fully realized and self-sustaining. This in turn drives greater customer adoption and broader use of our platform, which are key drivers of our net expansion rate and the customer penetration over the longer-term. I’m excited to share that the number of customers with a COE doubled during this past year. Within our leadership team last month, we welcome Bill Schuh as Chief Revenue Officer to manage the company’s go-to-market organization and global growth engine where he will be focused on driving operational discipline and scaling our go-to-market capabilities. Prior to joining us, Bill led the global industry sales business for another staff company. He is well-known as an effective, thoughtful and skillful go-to-market leader with an impressive track record of delivering growth and operational performance. Bill understands the importance of continuing to drive stability while scaling our go-to-market strategy to help take Anaplan to the next level. Reflecting back on this past year, as we have navigated through the challenging environment, our priority is in the first half of the fiscal 2021 was to focus on strong sales execution, optimizing pipeline around deal opportunities and customers who had the highest propensity to buy in an uncertain environment. We have been successful on building a healthy pipeline and driving expansion opportunities with existing customers. And we drove tighter collaboration in our joint account planning processes, leveraging our partners to connect Anaplan into the digital transformation efforts they are driving with their largest customers. As a result of these efforts, we delivered steady sequential improvement in billings growth as we progressed through the fiscal year. As a true testament to our Anaplan values, we work together as a community both with one another and with our customers. We quickly implemented Anaplan helps to aid organizations in navigating the impact of COVID-19. We received over 300 free trial requests for our connected planning platform for hospitals, pharmaceuticals and non-profit organization. I’m also excited to announce our new vaccine distribution planning solution to help government agencies, public health organizations, and healthcare systems, manage and control every aspect of COVID-19 vaccine distribution. This new solution, which has now been adopted in the marketplace is available through our partner. Looking ahead, we continue to execute in an environment impacted by the ongoing COVID-19 pandemic by delivering value to our customers, to help them achieve their digital transformation goals. With that backdrop, I remain optimistic for fiscal year 2022. As I said before, we have incredible opportunities ahead and the need for modern planning capabilities being a multi-year journey for most companies are being prioritized. All of this provides a tremendous runway for growth. In closing, I’d like to thank our employees, customers, partners, investors, and other key stakeholders as we value their trust and strategic partnerships. Now let me turn over the call to Dave who will discuss our fourth quarter and full year financials and provide our outlook for the first quarter and fiscal year 2022. Dave?
Dave Morton: Thank you, Frank, and good morning, everyone. Total revenue for the fourth quarter was $123 million, up 25% year-over-year. Within this subscription revenues grew 26% and comprised 92% of total revenue. Service revenues were $10 million or 14% from the fourth quarter last year. Total revenue for fiscal 2021 was $448 million, up 29% year-over-year. Fourth quarter billings growth rate improved year-over-year and sequentially. Calculated billings for the fourth quarter were $173 million, up 37% year-over-year driven by strong sales execution and higher growth in net new bookings this quarter. Billings also reflects a 4 point foreign currency tailwind and approximately 3 points related to a large upfront payment for a multi-year contract. Excluding these impacts, billings growth rate would have been approximately 30%, which is still well ahead of our guidance of 20% to 21%. For the full fiscal year billings were $523 million reflecting growth of 25% compared to the prior year. RPO exiting the fourth quarter was $818 million, up 25% over last year. The current portion of RPO that is expected to be recognized as revenue over the next 12 months is $420 million, up 29% year-over-year. We demonstrated healthy new enterprise growth and ended the quarter with over 1,600 customers. A dollar-based net expansion rate or NRR is 114% this quarter. We delivered year-over-year growth and the volume of expand deals as a result of broadening Anaplan’s platform within existing customers. There’s been no change in churn this quarter. And our overall customer retention rate is in line with historical levels. As a reminder, NRR reflects the cumulative impact of lower deal volume for the past several quarters. As we continue growth and expand deals, we will begin to see improvement in our NRR through the fiscal year. Turning to our profitability metrics, total non-GAAP gross margin was 78% up approximately 1 percentage point year-over-year. Within this subscription gross margins were 84% roughly flat year-over-year and services gross margins were approximately 7% up roughly 3 percentage points year-over-year. For the year, total non-GAAP gross margin was 77%, up approximately 1 percentage point year-over-year. For the fourth quarter, total non-GAAP operating expenses were $105 million, up from $87 million in the prior year, primarily due to investments in go-to-market and product and engineering. Operating expenses for the year were $385 million, up 21% year-over-year from $319 million. We continue to drive leverage in Anaplan’s financial model, while investing in key areas within go-to-market and product development. Fourth quarter operating margins were negative 8%, an improvement of 350 basis points compared to negative 11% in the same period last year. For the full fiscal year, operating margins were negative 9%, representing substantial improvement from negative 16% in the prior year and demonstrating progress towards our financial objectives of improved productivity and profitability. Net loss per share in the fourth quarter was $0.07 based on $143 million weighted average shares. Free cash flow for the fourth quarter was $7 million. We demonstrated good working capital management. We executed the quarter with $321 million in cash and cash equivalents. While there may be continued economic uncertainty, broad-based digital transformation investments remain a top priority across industries and around the world creating significant opportunities for Anaplan to continue building a healthy pipeline of new customers and drive an expansion of our platforms within existing customers. Looking ahead for the first quarter of fiscal 2022, we anticipate revenue to be in the range of $126.5 million to $127.5 million. Within this, we expect services revenue to be in a range of $9.5 million to $10.5 million. Billings for the first quarter are expected to be in the range of $122 million to $124 million. This implies a year-over-year growth rate in a range of 27% to 29%. Non-GAAP operating margin for the first quarter is expected to be in the range of negative 9.5% to 10.5%. Weighted average share count is expected to be approximately 144 million shares. For the full fiscal 2022, we are raising our guidance of expected revenue to be in a range of $550 million to $555 million. We expect non-GAAP operating margin to be in the range of negative 8% to 9% approximately flat year-over-year. Weighted average share count is expected to be approximately 147 million shares. In closing, our runway for growth and large market opportunity remain intact. We will continue to scale our business through strategic investments, extend our leadership in this market and drive towards profitable growth. I’ll now turn it over to the operator for questions.
Operator: Certainly. [Operator Instructions] Brent Bracelin with Piper Sandler, your line is open.
Brent Bracelin: Thank you. Frank, billings improvement here is sounds like the trends here are above a 30% would be the highest level we’ve seen in a year. Could you just kind of drilldown into what’s driving the improvement this – the industry conditions and digital driving just broader interest in planning. Or do you think there’s some internal execution improvement that, that drove the bulk of the improvement buildings and then one quick follow-up.
Frank Calderoni: Sure. Thank you, Brent. So in summary, I’d probably say, as we go back and look at this past fiscal year, our focus has been on building pipeline, really focusing down on current customers and working on expansion, opportunities, aligning with our partners, ensuring that they were making the investment, so that they and we together can build capacity. And throughout, as I talked about last two quarters, it’s really to have stability across our go-to-market team. So I think all of that played itself out throughout the fiscal year including in the fourth quarter, our focus was on linear progression. So we did see a continued acceleration of the growth and the number of billings throughout the year, which we’re pleased with. That was partly as I said the focus on pipeline making sure that we were aligned with our customers. I think we’ve all talked about the importance of digital transformation. I think leaders in organizations, whether they be CFOs, CIOs, other executives I talk to on a regular basis, they all talk about the need for flexibility, for agility and how best they can transform digitally. So that continues to accelerate throughout this past year. I feel good closing out the year that we’ve been able to build a healthy pipeline, a quality deals. As you know, we focused in the areas in the marketplace, where they were investing businesses and companies were investing. We did have a mix in the market early in the year. Companies that were struggling based on COVID. But again, we targeted areas where we felt there was a true opportunity. But I think the continuation of digitization of the focus on agility, flexibility, scenario planning really plays to our strengths, platform, continues to be out there as one that I think is a unique to address some of these needs and we continue to see the opportunities going forward and we feel good about the fiscal year 2022.
Brent Bracelin: Great, well, it’s good to see improving on both internal and external factors here. Dave, for you on the pipeline, net expansion appears to be stabilizing here 113%, 114%. Based on the pipeline, do you think that kind of we’re kind of stabilizing and you can start to see that slowly kind of recover?
Dave Morton: Hey, good morning, Brent. Obviously, we don’t provide a future guide on this one specific metric, but if you think about it in terms of our overall speaking points and narrative, and obviously NRR is somewhat of a lagging metric coming through that 113% quarter prior, 114% this quarter, and kind of where we’ve pivoted a lot of that pipe and kind of what that’s been translated into and converting into as a deals. Clearly, there’s a thesis that that would increase coming into FY2022.
Brent Bracelin: Good to hear. Thank you, guys.
Operator: Scott Berg with Needham & Company, your line is open.
Scott Berg: Hi, Frank and Dave, congrats on the good quarter, and thanks for taking my question. I guess, Frank to start off with the new CRO hire. I think the assumption was a couple quarters ago that sales was going to continue to report up to you for a while. And I guess why timing now to hire this new individual and what in his background is attractive to the opportunity at the Anaplan?
Frank Calderoni: So yes, I just mentioned this Scott, and I know I’ve talked about this over the last couple of quarters. I mean the focus that I’ve had with the go-to-market team is to really drive stability coming off Q4 of last year. And I think the talent that we have on the team in all the geographies around the world is very strong talent. And I think that talent proved itself throughout this past fiscal year that they can really stabilize the team, focus on the opportunity, build pipeline, aligned with our partners and execute. So that was great. I think in questions I’ve always had from many of you, I said that it over some time, I think we do need lead of the organization, CRO, but there was no urgency in doing that primarily because of what I just said. But I felt that getting the right talent was important, finding that right talent, I think I’ve found that with Bill feel really good, about Bill spent a lot of time, prior to Bill joining with Bill talking about what he could do at Anaplan, the skills that he brings, he’s highly experienced in being an operating executives, he’s well-known and effective. I really like how thoughtful and skillful he is built in the go-to market. But I think in business overall, he’s had an impressive track record delivering growth and operational performance at several companies, which is critical. I mentioned his vast experience also plays very nicely, I would say in the first 45 days, he came in to listen, to learn, ask questions, meet the team and it was impressive, from the standpoint, not only my view, but I think throughout the organization as far as how he was able to adapt to Anaplan, our model, and really kind of make some good input from the standpoint of going forward. His focus is clearly on maintaining that stability, allowing us to continue to execute as we’re now in a new fiscal year 2022. But also in making sure that we can continue to scale the organization as we invested last year, As you saw, we added 19%. We source half of that good part of that within go-to-market the other part within R&D. So allowing us to now take that investment and really help us scale that going forward. We just had our kickoff last week, a sales kickoff Bill did a great job with the team. And so off to a great start.
Scott Berg: Wonderful. And then from a follow-up, I know the company has had a lot of success landing outside the office of the CFO pre-pandemic. And I guess from what you’ve seen in the pipelines recently in the last quarter or two, or maybe even going forward. Does that kind of thesis continue to play out? Or is there been maybe a higher emphasis in the office of the CFO recently?
Frank Calderoni: So I mentioned this in the prepared remarks, which I think is really important. We started in finance. I mean anytime you think about planning, it resides in plan and finance and having the background that I have in finance, but also in operations. I know that everything starts and ends from a finance perspective as it relates to planning. But I think more and more companies are realizing that the way planning was looked at in the past is different from what is needed right now as well in the future. And that planning is an enterprise process, not a financial process. And so we were able – we have been successful in leveraging the strength that we’ve had in the finance organization in aligning a lot of that planning out into the organization, whether that’s in workforce planning with HR, whether that’s in sales performance management with sales organizations, whether that’s in supply chain, demand planning, supply planning, and many of the conversations that we’re having right now is CFO to other executives and back and forth. And that’s a strength that we have. It’s also what Gartner has called out over the past year in their new category called extended finance and planning as really enterprise planning. So we’re seeing more and more of that. I could just even talk about some of the executive meetings I had this week. I had one with CIO, they had a two-day summit this week, which I was part of the kickoff, where their current customer, the business started in finance with the CFO and the CIO. And here the CIO was sponsoring a two-day summit across their company specifically on Anaplan and the topic of the summit was making the art of the possible real for them, right. So how they continue to expand, what they’ve been able to achieve in finance out across the enterprise. So we’re continuing to see that. And I think we’re having some great success with many examples. And that’s where our partners kind of come into play as well, because they have a broader reach in some of these accounts to be able to allow us to not only deal with the financial organization, but deal more across the enterprise, especially when they’re working on transformation opportunities.
Scott Berg: Hey, congrats again on the good quarter.
Operator: Stan Slotsky with Morgan Stanley, your line is open.
Stan Slotsky: Perfect. Thank you so much, and good morning, everybody. So from my end, a couple of quick questions on the sales organization, Frank, maybe this for you. How are you and Bill thinking about the structure of the sales organization moving forward, any potential changes? And then maybe how has the sales productivity been trending? I would imagine if it’s been improving through the year, but specifically how to finish in Q4?
Frank Calderoni: Hi Stan, so I would say and this again goes back over the last couple of quarters. We put in some changes in Q4 of last year. We then got hit with COVID. So I think the go-to-market organization at the start of the fiscal year 2021 had some change both organizationally as well as just the environment. And as I said before, I think I’m really pleased and proud of how the team has weathered that with the execution that we’ve had throughout. The focus has been on stability. We’re going to continue that focus. Bill fully agrees with that as well. There we don’t anticipate any change in the organization. When I announced Bill, Bill has the whole go-to-market. So it’s just all those individuals that have pieces of that reporting to me, now report to him. We did not announce any organizational changes nor do we intend to, and the focus is on continuing to execute and then scale as far as the opportunity. Now, as far as productivity, as you would expect, as you mentioned, productivity continued to improve throughout the year and it also improved in Q4 as well. So we finished, I would say on a high note as far as our productivity and how it trended throughout FY2021.
Stan Slotsky: Okay, perfect. And then maybe a quick follow-up for Dave, on the fiscal 2022 revenue guidance, is there any change in mix that you’re expecting as far as like subscription revenue and product services that we need to be mindful of?
Dave Morton: Good morning, Stan. No, not whatsoever, the assumptions are pretty fairly based. I would just use historical views of both our lands and expands specifically on the subs, because our pipe is lining up very, very nicely to that as well as Frank had narrated on just the productivity gains on, so expect those similar conversion ratios. And then we’re going to continue to at the emphasize professional services, right, as we’ve always narrated that will continue to be less than 10% as we think about the total aspect of the revenue build from a bottoms up.
Stan Slotsky: Okay, awesome. Thank you, guys.
Operator: Brent Thill with Jefferies, your line is open.
Brent Thill: Hey, good morning. Frank, just in the larger transactions, curious if you could just give us a sense of what you’re seeing in terms of some of these larger enterprises coming back with bigger commitments. Now are you feeling that they’re getting back to the opening trade as well and wanting to commit and make bigger decisions this year? Are you still seeing some hasn’t seen, they’re kind of dipping their toe in and doing some simple transactions and then getting back up and going again later in the year.
Frank Calderoni: I think the – we’re still dealing with a COVID environment. And so we continue to be proven from that perspective. And I think things have improved throughout the year from that perspective, our focus has been, as I said in industries where there’s been strength and that’s kind of where we’ve been putting our effort both in current customers, as well as the new prospects. So in those industries to answer your question, I would say that, that’s healthcare, financial services, I would also technology, those companies have continued to I would say accelerate the digital transformation or some of the efforts that they’ve had. I think that’s partly why we saw a strength in our expands in Q4, as far as just the overall waiting. We have several companies one that I mentioned earlier, which is a technology company that was a customer and is now looking to now do it more extensively. The benefits that they had – the value that they realized with some of these cases that had look at it more extensively across the organization that they’re working toward their IPO. That was a great example. We’ve had another technology company, which I can mention, that worked with us earlier this year in supply chain and how has continued NVIDIA, as they continue to scale and grow. They’ve continued to see value in Anaplan. And so working through this past year was that’s a great example of a continued expansion from that perspective. We’ve had a couple of very large companies, again, in areas where their business has had some strength, really build out and replace a 20-year old infrastructure in their sales performance management and replace that extensively with Anaplan and sales forecasting, and territory planning, incentives compensation, the entire suite. So yes, we’re seeing those types of opportunities build throughout this past year. But again, as I started answering your question, I’ll end with that too. We want to make sure, as we look at FY2020, we feel good about having a healthy quality pipeline, but we also want to be prudent knowing that the ebbs and flows of COVID in different industries and the different geographies around the world continues to be out there and we want to kind of take it one step at a time.
Brent Thill: Great. Thank you.
Operator: Michael Turrin with Wells Fargo, your line is open.
Michael Turrin: Hey there, thanks. Good morning. You’ve delivered billings upside the past couple of quarters, but revenue growth is still showing some of the lagging impacts. Just wondering if you’d expect Q1 could be the trough here, assuming the world continues to recover. It certainly looks that way given guidance for the rest of the year and what you’re starting to lap as well. But wondering if you can all – at all touch on the expected shape from a top line perspective, and maybe remind us how much visibility you have there as well.
Frank Calderoni: For modeling purposes, we – I would – we gave the guidance that we had most for Q1, as well as for the full year from a revenue standpoint. I think all of you know that with the model that we have based on the performance throughout FY2021, from a booking standpoint, that has a lagging impact as it relates to revenue. As far as recovery, as I just said with the previous response, we feel good about the healthy pipeline that we have, the quality of the pipeline, how we focus the pipeline that the fed in industries where there’s business strengths. But again, I want to be patient as it relates to COVID take this one quarter at a time. While we feel good, I think the only way to kind of answer your question is to see how it plays out throughout FY2022. With a balanced approach, I think it allows us to continue to execute and our objective is to see a continued progression of our business as we see the opportunity being fairly significant in the marketplace and we feel that the products that we have, the platform that we have is ideal for that opportunity. And the more conversations I have with executives each week makes me feel better about what they want to do, how they want to do it and where they can leverage Anaplan.
Michael Turrin: Understood. Maybe just a quick follow-on for Dave, can we go back to the billing sale on just makes sure we have those, right. It sounded like 4 points from FX and 3 points from a larger pre-pay. Is there anything you can add on that second one, just to help us in characterizing, that would be helpful. Thank you.
Dave Morton: Yes. Morning, Michael. No, I think you have it correct. It’s as simple as that. We had our large customer or a large free pay that included a year or two and a year or three involved with that. And so we specifically wanted to call that out as we don’t normally have those deals. And so when we talk about just comps as well as year-over-year and sequential quarter, we wanted to provide that information as transparent as we can, so nothing more than that simply.
Michael Turrin: Appreciate that. Thanks, guys.
Operator: Kirke Materne with Evercore, your line is open.
Kirke Materne: Hi, thanks very much. Frank, I was wondering just in your comments about sort of the market and the pipeline build have so many impacted industries that you saw, obviously earlier in the year comeback at all, or as hopefully the economy and the world gets back to normal. Could you see parts of the economy actually coming back into your pipeline that maybe you’re not quite seeing yet meaning, I’m just wondering if there’s – you’ve obviously taught what really well in the areas where there’s more demand and hasn’t been impacted, but you’ll have some of the companies that were impacted earlier in the year start to look maybe ahead beyond COVID and come back in or is that still opportunity or upside potential for you as you head into fiscal 2022?
Frank Calderoni: Kirke, it’s hard to say. I think those verticals still have been impacted. I will say if I think back, as you’re asking the question, have we had started to have some conversation with some of them, yes, which gives you a sign that they’re thinking more about the future. But I don’t – I wouldn’t say that we started to have a certain traction as far as closed deals, the deals that are near-term in the pipeline. So we’ll continue. The good thing about our model is and also the investment that we’ve made both in our own team as well as with the partner team is that we stay connected with these customers. The key thing that we tried to do early on with all our customers is to show empathy, right, go in there and see what we can provide some help. And I think that goes a long way, as they then come back and start to see some improvement in their business, how they want to respond to work with us, so that’s always an opportunity…
Kirke Materne: Okay, that’s great. And then just a follow-up for Dave and Frank, maybe you want away on this to, but how are you all thinking about just sort of sales and market going go-to-market post-pandemic in terms of more virtual selling, you’re obviously building out a bigger partner channel. And maybe how you think about that impacting just serve your sales, serve yield, or just serve your operating margin, sort of progression, meaning I think most big enterprise companies have seen some benefits this year actually from lower travel and expense things like that. How are you all thinking about that as we had, and maybe beyond COVID over the next hopefully few quarters. Thanks.
Dave Morton: Good morning, Kirke. Sorry, Frank. Go ahead.
Frank Calderoni: No, you can go ahead.
Dave Morton: I was just going to say, obviously you’re going to have the near-term economic gain from savings and spend, but I do think where this is index things longer-term has been a net positive, not only on the investment thesis and the further data modernization, but then also access to the respective teams that you’re trying to sell into plus the value that you’re immediately delivering upon implementation of Anaplan. And so I think when we met a lot of those out, it’s a net positive, much further down the road. But in the near-term, obviously like everybody else, you’ve seen some near-term savings, but then obviously we’re reinvesting back into the business as you think about just productivity gains and absolute capacity that you’re putting online. Sorry, Frank, so.
Kirke Materne: That’s great. Thanks, guys.
Operator: Josh Beck with KeyBanc, your line is open.
Josh Beck: Thanks for taking the question. What does it go back to some of the higher level commentary around digital transformation? You said that it remains a top priority. I’m just curious maybe where it stands now, obviously earlier in the pandemic, there was a big focus on front office. And I think that really shifted as we went through the year. And so I realize it’s tough to do, but maybe just to help us think about where perhaps it stands on the priority list versus pre-pandemic to be it can.
Frank Calderoni: From the – I would answer it this way from a priority list, I think it’s moved up higher on that list. And I just say that just based on the dialogue that I’ve had and also participating with our partners in some forums that they have with the CFO Dave with even part of the forum a few weeks ago with a group of CFOs and this exactly what the topic. And so he can maybe jump in and get his perspective as well. So I think the topic has moved up significantly from a prioritization standpoint, especially with CFOs, but I think even more extensive than the CFOs. As far as where it is, I still say it’s in very early innings, as it relates to enterprise, transforming, their FP&A function, but also transforming some of their planning across the enterprise. And I think it also goes into bring up this same reference again the Gartner 2020 Cloud Financial Planning and then from solution report that came out in April where they did an extensive amount of research for a whole year. And they’re saying early, but all indications are that it’s going to start to show a more aggressive ramp kind of going forward, where they were predicting by 2024, 70% of FP&A organizations are going to have something more like an extended planning organization or planning opportunity. Dave, I don’t know if you want to add in some of the perspective you picked up in that recent CFO forum.
Dave Morton: I would just add it’s very top of mind. There’s continued to be a lot of friction points. And so when you think about just the opportunities that lay ahead for the value creation that Anaplan brings, but then more importantly, again whether it fits a greenfield opportunity or legacy systems that are just not able to keep up with kind of the evolving times as we navigate through everything going on. I think it’s just center – front center for a lot of the operating CFOs.
Frank Calderoni: And the only thing as again what executives are also dealing with as they take on the transformation. They got to figure out how best to do it, right. They’ve got a lot of things happening in their business, but moving it higher on the prioritization list allows them to start to work through paths of execution and that’s been increasing.
Josh Beck: Really helpful. And then a follow-up on really the composition of the new bookings, obviously you’ve made a really purposeful shifts towards expansion activity, and that’s worked well. But in the next year or maybe two, could we see that swing the other way as some of these perhaps maybe larger deals start to return? So just curious if you could maybe help us think through the potential shapes there in the coming years?
Frank Calderoni: It’s hard to really predict, but I think our mix of like 60, 40 as far as expands and new, it’s probably the best model that we can see. I mean, yes, it did shift more toward expand in Q4, but at the same time, Q4 also had a very strong amount of new customers that were brought into the Anaplan portfolio, which is great to see. I think that’s an indication now of more extensive interest going back to some of the comments that Dave and I have been making. So that was good to see as far as number of customers, new customers working with Anaplan, working with partners and exploring initial use cases and potentially now then further expanding as you know 2022 and 2023 continue.
Josh Beck: Okay, great. Thanks, guys.
Operator: Raimo Lenschow with Barclays, your line is open.
Raimo Lenschow: Hey, thanks for squeezing me in, and congrats from me as well. Just a quick question on the expanded AWS relationship, just what does it do from like working with customers and new geographies, I guess that’s where you initially kind of benefit from them. And what are the – how do you think about that, that clouds usage in the long run and what does it do to gross margins? Thank you.
Frank Calderoni: So again with the strategic cooperation agreement that we have with AWS, and of course last quarter, we talked about the partnership with Google Cloud, customers want access to public cloud. We want to provide them with the ability to do that. This enabled – this further enables us to do some of that. It also allows us to expand globally as far as availability and it gives us more opportunity and also expand the Anaplan footprint, extending the availability of Anaplan really to global enterprises and market segments that we didn’t have – or we don’t have access to today as well as continue to the innovation, which is also helpful. I know we mentioned today about the innovation with Amazon Forecast, which we announced back in September, other things like that too. So we’re really excited about the opportunity that we have here. And I don’t – this is – I just want to mention as far as the joint go-to-market, that’s more latter part of this year into next year. And as far as the margin implication, the margin implications should be minimal to not existing.
Raimo Lenschow: Okay. Bye-bye. Thank you. Well done.
Operator: We have time for one final question. Terry Tillman with Truist Securities, your line is open.
Terry Tillman: Yes. Thanks for taking my questions, and it’s a nice job in the quarter and seeing the progress. Hi, Frank, Dave and Edelita. Maybe just actually one question, Frank, I’ll make it easy. On McKinsey, that’s a pretty prominent name in the consulting world. I’m curious had you all had some engagement with them in the past and/or was this like a bake-off where they were wanting to standardize kind of their go-to-market with one particular CPM vendor. And then how could you see this playing out compared to some of these other relationships like AWS? Thank you.
Frank Calderoni: Yes. So we had a relationship with McKinsey for the four years that I’ve been a part of Anaplan, I’ve been working with McKinsey. I think this is really a further confirmation of the success they’re seeing with their clients in leveraging Anaplan where they do want to standardize, especially for a corporate forms management. So I think it’s just showing that they’ve had some great examples of value that they’ve been able to create leveraging Anaplan and wanting to extend it even further with other clients. So it’s great to see that. And we look forward to the continued to partnership.
Operator: I would now like to turn the call back over to the Anaplan management team for closing remarks.
Frank Calderoni: I want to thank everyone for joining us here today and the continued support of Anaplan. Please join us again next quarter as we talk about the results from our Q1 that we’re often running with fiscal year 2022. So thank you, again.
Operator: This concludes today’s call. We thank you for your participation. You may now disconnect.